Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Acadian Timber Third Quarter 2019 Conference Call and Webcast. At this time, all participant lines are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advice that today’s conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Mr. Brian Banfill, Chief Financial Officer. Please go ahead, sir.
Brian Banfill: Thank you, Operator, and good afternoon, everyone. Welcome to Acadian’s third quarter conference call. Before we get started, I will first remind everyone in that -- that in discussing our third quarter financial and operating performance and outlook, and responding to questions, we may make forward-looking statements. These statements are subject to known and unknown risks and future results may differ materially. For further information on our known risk factors, I encourage you to review Acadian’s annual information form dated March 28, 2019, and other filings of Acadian, which are available on SEDAR at sedar.com and on our website. Before outlining the financial highlights for the quarter ended September 28, 2019, I will turn the call over to Erika Reilly, Acadian’s President and CEO to discuss some of the transformative activities that took place during the quarter. Erika?
Erika Reilly: Thank you, Brian. As I am sure most of you are aware, Brookfield sold its 45% interest in Acadian in late August. On September 9th Acadian announced it had entered into an agreement to terminate the evergreen management contract it had with Brookfield and that it would internalize the asset management and corporate functions. Acadian paid Brookfield $18 million to terminate the agreement and in return Acadian no longer pays management a performance fees. These fees amounted to $3 million in 2018. Acadian is well on its way to internalize the functions Brookfield provided with key positions including the Chief Financial, or sorry, Chief Forester, Resource Systems Specialist and land management positions transitioned and with Brian Banfill joining as a Chief Financial Officer. We are also building out Acadian’s internal corporate administrative capabilities with a focus on making Acadian an efficiently run public company and delivering savings from the elimination of the asset management agreement to its shareholders. I would that while the sale and internalization were material events for Acadian, Acadian’s core strategy remains unchanged. The team that has been with Acadian since inception remains in place. And with the full support from our Board we continue to focus on maximizing shareholder value through active management as we have successfully done since its formation. I will provide my comments to our -- on out operations, market conditions and outlook for the remainder of 2019 and into early 2020 after Brian discusses the financial results for the quarter. Brian?
Brian Banfill: Thanks, Erika. Acadian continues to benefit from strong and stable market dynamics in New Brunswick and Maine softwood sawlog pricing has come under pressure recently reflecting the current weakness and prices for North American saw and timber products. Maine’s hardwood pulp market continues to be strong and softwood pulp -- softwood pulpwood market continue to improve. Sales for the quarter were $25.4 million, down $1.2 million compared to the prior year period. Strong demand for pulpwood drove a 7% year-over-year increase in sales volumes excluding biomass. High values -- higher values sawlog volumes were down 8% overall with the volume in New Brunswick up 6% and Maine down 30%. This decrease reflects the operations temporary focused on harvesting lower quality stands and delivering more softwood pulpwood as markets have improved for this product. The weighted average selling price excluding biomass was down 2% from the prior year, with weakness in softwood sawlog pricing in Maine mostly offset by strong pulpwood prices at both operations. Variable harvest cost per cubic meter were almost unchanged decreasing just 1% or $0.41 per cubic meter. Acadian generated adjusted EBITDA $5.1 million during the third quarter, down $1 million from the same period last year. The adjusted EBITDA contribution from timber services was in line with the prior year but the contribution from higher and better use land sales was lower as the bulk of the properties currently available for sale have been sold. Acadian also had higher land management activity during the quarter and higher administrative costs due to the early settlement of the annual performance fees with Brookfield LP as a result of the termination of the management agreement. Adjusted EBITDA margin for the quarter was 20%, compared to 23% in the same period last year. Our net loss was $10.9 million during the third quarter, compared to net income of $5.9 million in the prior year. The variance from the prior year period is primarily due to the management agreement termination fee that Erika mentioned earlier which after income tax reduced net income by $12.8 million. We also recorded an unrealized foreign exchange revaluation loss on U.S. dollar denominated long-term debt during the quarter compared to an unrealized gain in the prior year period that reduced pre-tax net income by an additional $2.6 million. Acadian’s year-to-date payout ratio was 108%, which is above our long-term annual target but in line with expectations given the seasonality of our operations and the dividend increases approved in May 2018 and February 2019. We anticipate that over the long-term we will to a payout ratio consistent with our target level and in the near-term Acadian’s cash position supports a payout ratio in excess of our target. I will now move into the results for each of our New Brunswick and Maine operations. During the third quarter, sales for our New Brunswick timberlands were $19.5 million, compared to $20.1 million in the same period last year. The sales volume excluding biomass increased 10% over the prior year. However, the biomass sales volume fell 57% due to the recent operating curtailment of the customer who ships the product to export markets. Revenues from timber services declined 24% as a result of decreased operating activities during the quarter. The weighted average selling price during the quarter was 6,571 per cubic meter, an increase of 3% over the prior year. Prices for all products improved year-over-year with the biggest gains being for softwood sawlogs where prices were up 3% due to customer mix and for softwood pulpwood which saw price increase of 6% due to improved demand. Operating costs were $14.9 million during the third quarter, compared to $15.8 million last year. Effective lower biomass sales volumes and decreased timber services activity was partially offset by higher reforestation cost due to the timing of these activities. Administrative costs were also higher as we paid the annual management agreement performance fees during the quarter instead of at the end of the year due to the termination of the management. Variable harvested cost per cubic meter excluding biomass were almost unchanged year-over-year. New Brunswick adjusted EBITDA was $4.8 million during the third quarter of 2019, compared to $4.5 last year as decreased sales revenues were mostly offset by decreased operating costs. Adjusted EBITDA margin for the quarter increased 25% from 22% in the prior year due to the 3% increase in selling prices I mentioned previously. Switching over to our Maine timberlands, sales during the quarter totaled $5.9 million, compared to $6.5 million in the same period last year. Demand for softwood pulpwood improved, providing the opportunity to focus harvesting activities on retrieving pulpwood that wasn’t harvested in prior years when markets were very weak. This led to a lower value product mix that along with weaker pricing for softwood sawlogs resulted in an 11% decrease in the weighted average selling price excluding biomass. In U.S. dollar terms, the weighted average selling price of $58.04 per cubic meter was 12% lower than last year. Maine timberlands benefited from improved demand for hardwood and softwood pulpwood with hardwood pulpwood prices climbing 7% year-over-year. However, change in the mix of delivery points for softwood pulpwood resulted in a 1% decrease in pricing for that product. The benefit from improved hardwood pulpwood prices were more than offset by a 10% decrease in softwood solid sawlog price. As a result of these factors along with increased road maintenance and construction costs and lower revenue from land sales, adjusted EBITDA for the quarter slipped to $0.7 million from $1.9 million last year, while the adjusted EBITDA margin was 12% during the quarter, compared to 29%. Lastly a few comments on our financial position. We ended the quarter with a cash balance of approximately $13 million. This is down $8 million relative to the end of the prior period as we use this amount plus approximately $10 million draw from Acadians revolver to fund the termination fee. Our liquidity position was also impacted by the elimination of the US$50 million stand-by equity commitment from Brookfield that was automatically terminated when Brookfield sold it to interest in Acadian. Acadian ended the quarter with $14.1 million of liquidity. During the quarter we declared a dividend of $0.29 per share. I will now turn the call back over to Erika for additional comments on our operations, market conditions and outlook for the remainder of 2019 and into early 2020. Erika?
Erika Reilly: Thank you, Brian. During the quarter, Acadian operations had no reportable safety incidents among employees and contractors. This is a notable achievement as it’s the first third quarter since inception with no safety incidents. With this said we continue to stay focus on maintaining a culture across the organization that emphasis the importance of strong safety performance and support that by active and regular training and monitoring. Also we are pleased to announce that both operations completed their SFI recertification audit with zero major non-conformances during the quarter. Turning to our operating performance, sales volume excluding biomass of 288,000 meters for the quarter was up 7% year-over-year largely reflecting the improve demand for hardwood and softwood pulpwood. Acadian’s weighted average selling price excluding biomass was down 2% from the prior year, reflecting weakness in softwood sawlog pricing in Maine mostly offset by strong prices for hardwood pulpwood and improve softwood pulpwood prices at both operations. More specifically, demand for softwood sawlog in New Brunswick remained strong with prices increasing 3% or pricing for pulpwood increased -- continue to improve increases of 6% and 1% for softwood and hardwood, respectively.  Pulpwood markets in Maine remained strong, although prices in U.S. dollar term for softwood pulpwood weakened by 1% due to delivery point, while hardwood pulpwood prices improved 7% on stronger demand compared to the prior year. As previously noted, softwood sell-off prices in Maine have weakened recently and are down 10% in U.S. dollar term year-over-year. Shipment of biomass lessened for export have been curtailed recently and which has led to the decrease volumes sold year-over-year and margins per cubic meter for this product have fallen. This product does, however, typically only contribute 4% to 7% of Acadian’s total adjusted EBITDA. The outlook for Acadian’s end-use markets is expected to remain stable in the near-term, suggesting that demand and pricing for our products will follow suit. Our customers generally have a positive outlook for the remainder of 2019 and as we head into 2020, despite the mix indicators for global supply and demand of wood products. As we review the supply and demand dynamics for our key markets, U.S. housing starts are up 1% to 1.26 million year-over-year, as of September 2019. Consensus estimates are calling for this level to be sustained through 2020 with favorable demand drivers, including lower interest rates, wage growth and stronger U.S. household balance sheets, offset by supply-side constraints, including labor shortages, increased construction costs and new regulation. Benefits from steady expected U.S. demand for North American softwood lumber in 2020 is -- and significant sawmill curtailments in western North America are expected to be offset, in part, by lower offshore exports, available softwood supply in the U.S. south, and increased wood supply from Central Europe as spruce forests impacted by a bark beetle are liquidated. Regionally, Acadian’s softwood sawmill customers continue to operate on full shifts and we expect stable demand for our softwood sawtimber products going into 2020.  Local markets for hardwood sawlogs are expected to remain balanced for the remainder of the year despite the impact of the U.S.-China trade dispute and slowing Chinese economy have had on appearance grade lumber exports as markets for industrial lumber are expected to remain strong for most of our customers. Notably, we are experiencing increase demand for our hardwood log and the railway tie market is strong in our region. Hardwood and softwood pulpwood remain -- demand is expected to remain steady or gradually improve. The inventory level at our key hardwood pulpwood customer in Maine is low and a restart of the old town mill in Maine is driving regional demand for softwood pulpwood. Biomass markets in Maine remain weak, without any significant changes in sight. The New Brunswick biomass market continues to be supported by steady demand at attractive prices. However, the export market in New Brunswick has been curtailed for the remainder of 2019 and we expect this market to return in 2020.  In closing, I would like to highlight that Acadian’s highly capable and dedicated team remains committed to continuing to deliver strong financial and operating results for our shareholders. On the behalf of the Board and management of Acadian I would like to thank you for your ongoing support. That concludes our formal remarks. We are available to take any questions from participants on the line. Operator?
Operator: [Operator Instructions] Our first question comes from Hamir Patel with CIBC Capital Markets. Your line is now open.
Hamir Patel: Hi. Good morning. Hey, Erika. I was wondering if you could speak to maybe how following the management and shareholder shift if that’s changed, how you think about growth opportunities and if you are looking beyond Timberland and maybe considering potential sawmill acquisition targets in your operating areas?
Erika Reilly: Great. Thanks, Hamir. As I noted in my prepared remarks, right now we are very much focused on the internalization of management, so making sure that we put in place a strong team and set up Acadian for the future. As time goes on here we will continue to work to find opportunities. We are certainly looking to stay in the flow in North American timberland transactions and look at opportunities more specifically regionally that are good fit for the company. Again, we will be very focused on making sure any opportunities that we do pursue will be done in accretive basis. There is -- we are certainly not contemplating at this time to change our strategy. We will continue to be a pure play timberland company.
Hamir Patel: Okay. Fair enough. And Erika, I was curious or maybe Brian could speak to this, but with the beetle situation in Europe and what we have seen unfold in BC. How do you feel about from a risk management perspective some of the unknowns whether it would be forest fires or beetles and I am just curious how you manage that, is that something you can insure against, is it prohibitive to insure against, how do you think about that?
Erika Reilly: Well, yeah, I will start and then Brian if you have anything to add.
Brian Banfill: Yeah.
Erika Reilly: So -- with respect to risk mitigations, we have strong policies and procedures in place at the operation whether that is to manage fire risk or beetle infestation, et cetera. In the Northeast there have been outbreaks in the past and the provinces and the federal government have been very active in sponsoring and supporting both research, as well as treatment of any outbreaks as a lot of monitoring that goes on New Brunswick and northern Maine to make sure that we get ahead or stay on top of any beetle outbreaks and it’s been a very active program.
Brian Banfill: Yeah. I think the primary risk is as you probably know in that region is really spruce budworm as opposed to a bark beetle. And it’s really aggressively managed and I think we are always impressed of the efforts made by the Québec and New Brunswick governments, and then as Erika said, supported by the federal government as well. So that side of things I think is really well managed. On fire risk, I think, to-date the fire risk in the Atlantic provinces has been much lower than we have seen certainly in the western provinces. And we always benefit from the geographic diversification of the assets, it’s not one giant block, obviously we are spread between the State of Maine and the Province of New Brunswick and even within New Brunswick we are spread over quite a land base. So that reduces the fire risk. I think you asked about insurance as well and insurance costs for standing timber if available are generally prohibitive, they just -- they don’t make good business sense as an investment.
Hamir Patel: Great. Thanks. That’s helpful. I will turn it over.
Operator: Our next question comes from Andrew Kuske with Credit Suisse. Your line is now open.
Andrew Kuske: Hi. Good day. Maybe just a first question just upon the clarification for Brian, the performance fee that I think you said was paid out with the internalization that would normally be paid out later in the year, was that included in the $18 million?
Brian Banfill: No. That was really included just in administrative expenses, because it is a normal part of the management fee expense. It’s just an additional component of the management fee expense. You would see that on the admin expense line of the income statement.
Andrew Kuske: Okay. Helpful. Thank you for that. And then, maybe just a broader question on the management internalization plan, I think, there is a 24-month window, if memory serves me correctly, where Brookfield essentially provides the services really at no cost, but when you look at internalizing everything, what’s the sort of whether 100-day game plan or 24 months game plan, what are the priorities to really knock off and how do you think about the progress sort of to-date even though it’s early and just prospectively?
Erika Reilly: That’s great. Yes. We have as a two-year transition services agreement with Brookfield at effectively no cost. There is some cost recoveries for -- where my involvement is seconded to Acadian. The -- as I mentioned the internalization process is certainly well underway. I think the bulk of the tasks have already creep in transition with Brian coming on Board as an Acadian employee and meeting a lot of accounting and finance experts that Brookfield use to provide for the company and we have also transitioned all of our kind of our the forestry folks that were part of Brookfield. They are now members of the Acadian team and that went smoothly. I expect that it will be kind of another six months as we continue to transition some of the more administrative support functions that Brookfield was applying -- was providing historically. But again, while we have a two-year contract, I hope to have most of it tucked in, in the next six months to eight months.
Brian Banfill: Yeah. I think, Andrew, the biggest thing that the agreement gives us is that continued access to the -- just the kind of the amazing skill set that the Brookfield team brings to us whether that’s tax or maybe a bit legal or other advisory services. So it’s less on the administrative services functional type of services and more of the benefits that we could get just from the advisory set of skills that are.
Andrew Kuske: Okay. That’s very helpful. Thank you.
Operator: I am not showing any further questions in queue at this time. I would like to turn the call back to Erika Reilly for closing remarks.
Erika Reilly: Great. While thank you everyone for joining today’s call and for your continued interest in the company. I hope everyone has a nice rest of the day.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.